Operator: Good day, everyone. Welcome to the Jacobs Engineering Fiscal Year 2014 Third Quarter Conference Call. [Operator Instructions] Please also note, today's event is being recorded. At this time, I'd like to turn the conference call over to Ms. Michelle Jones, Vice President of Corporate Communications. Please go ahead.
Michelle Jones: Thank you. Statements included in this webcast that are not based on historical facts are forward-looking statements. Although such statements are based on management's current estimates and expectations and our currently available competitive financial and economic data, forward-looking statements are inherently uncertain, and you should not put undue reliance on such statements as actual results may differ materially. There are a variety of risks, uncertainties and other factors that could cause actual results to differ materially from what is contained, projected or implied by our forward-looking statements. For a description of some of the risks, uncertainties and other factors that may occur that could cause actual results to differ from our forward-looking statements, see our annual report on Form 10-K for the period ended September 27, 2013, and in particular, the discussions contained in and Item, 1 Business; Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations, as well as company's other filings with the SEC. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements that are discussed on this webcast. With that, I'd like to turn the call over to John Prosser, EVP of Finance and Accounting.
John W. Prosser: Thank you, Michelle. I'll go over the financial highlights for the quarter, then I'll turn it over to Craig Martin, our CEO, to review the quarter in more detail and the operations and the outlook. Turning to Slide 4, the financial highlights. As I'm sure many of you saw in the press release that was put out last night that the earnings per share for the quarter was $0.49. That included the impact of restructuring of $0.35 that we had talked about last quarter. I'll get a little more detail on that as we -- as I go through the points. Backlog ended at $18.5 billion, up a little from last quarter, but also up nicely from a year ago. Continue to have good book-to-bill. Balance sheet still is in very good condition. Our cash has increased by about $80 million, up to $772 million. Net debt decreased. And we continue to have a strong balance sheet. We have continued our Q2 guidance, so I think as we look at that, we expect that excluding the impact of the first half adjustments and the second half restructuring, that it'll be near the midpoint to slightly below it as we look at it now. Restructuring, as I said, for the quarter was $0.35. We now are looking at a total restructuring cost of somewhere between $0.55 and $0.60 for the third and fourth quarter. This is up slightly from what we had talked about last quarter. Part of that is attributed to, just as we've got into the detail, the gross cost has gone up by about 20%, but the bigger impact was the fact that we are not getting tax benefit for all the expenses currently, so the tax benefit is about half of what we had anticipated when we were talking about a number in the range of $0.40 last quarter. But we will get this all complete in the fourth quarter, and I think the results of the benefits from that will be clear as we go forward. Turning to Slide 5, which is the backlog. A nice increase year-over-year, up slightly quarter-over-quarter. I think this continues to show we do continue to see good prospects in the pipeline and that the market activity continues to be strong. With that, I will now turn it over to Craig Martin to go through growth strategies and review the quarter.
Craig L. Martin: Thank you, John, and good morning, everyone. I want to take just a minute, as I always do, to talk about our growth strategy. It doesn't change, so it's going to be the same one you've heard before. But we're going to continue to focus on our relationship-based business model. We think we put -- that puts us in a unique position in the marketplace. We're going to continue to leverage that diversity in markets and geographies that we've developed, and expand that geographic presence, as well as focusing on some niche growth in existing geographies, using this multi-domestic strategy. I think, again, it's somewhat uniquely Jacobs. We're going to continue to use cash for acquisitions to contribute to our growth, and we're going to continue to work to drive down costs. I'm going to talk more about the first 4 items later, but I wanted to take a little bit more time here. The market continues to be very price sensitive. We are not finding any areas in the market where the conditions are such that we can get significant improvements in price, and we are finding areas where price pressures are still pretty high. So we're focused very aggressively on keeping our costs down, driving our costs down so that we're in a good position to win work as we go forward. This restructuring that John talked about, I think that's very good positioning for us from a cost point of view as we look into fiscal '15 and beyond. Moving on now to our next slide, this is Slide 7, our relationship model. Again, we've talked about this relationship-based business model a lot. You can start almost anywhere on this chart and understand how our business model works. We try to develop long-term relationships with our customers, and that builds on trust and client knowledge, which produces better results and superior value. The customers then have high repurchase loyalty and that comes back to us through steady earnings growth and our ability to reinvest in the business. The measure of that repurchase royalty, at least one of them, is our repeat business. In the third quarter this year, our repeat business was 96.5%, which I think is close to a record level, and pretty consistent with the last 2 quarters. So clearly, we are being able to build those customer relationships that endure. Moving on now to Slide 8. You can see how the overall business breaks down. I'll talk about each of the segments of that in a little more detail in a moment, starting with the public and institutional segment or sector, whatever you want to call it. Let me start with that, so turning now to Slide 9. This is the public and institutional parts of our business. Really, 3 major categories there: national governments, infrastructure and buildings. Let me take a minute to talk about each one. On the national government side, we're seeing a steady flow of opportunities in the U.S. And this FNS acquisition that we closed on the 1st of July is already starting to drive significant opportunity in the national security aspects of our business, something we wanted to be in for a very long time and now have the credentials to grow pretty rapidly, I hope, in dealing with the key sort of black aspects of our government operations. We still see good opportunities in the U.K. and Australian defense and major opportunities with the U.S. Department of Defense in the Asia Pacific. Particularly in the Asia Pacific aspect, our SKM acquisition is a huge plus. It positions us very well to take advantage of the investments in Asia and across the Pacific. We also see lots of business in the nuclear cleanup area, both in terms of the remediation projects in the U.S., nearly 1 billion of those and then of course, that nuclear cleanup in the U.K., which is one I've told you in the past is sort of behind where we are in the U.S., lots of opportunity there. We have 2 major prospects that we expect to see action in the next couple quarters. Our Stobbarts acquisition from earlier, certainly helping us to position for those prospect. We feel very good about our chances. Just in the near term, we see that as about a $4-billion market. Moving onto infrastructure in the telecoms side. It's a very large business. Over the next 5 years, something like $2 trillion in spend globally. A big chunk of that here in the U.S., probably north of 20%. We are very well-positioned to continue to grow in that business. We're getting really good traction. We continue to see a nice flow of small acquisitions to support that as well, and that will be one of the areas of our focus. I'll talk about that when I talk about acquisition. So it is a good business for us. We're seeing a lot of activity in water projects globally, particularly U.K., Asia Pacific, Middle East. It's a $70-billion market, and we were fortunate to be able to announce our United Utilities win in the U.K., a major win in the water business for us and positions us for very long-term activity in water in the U.K. And there's still tremendous opportunity in airports, roads, rail. We continue to gain market share. The overall investment there is very, very significant, and we see every opportunity to continue to grow. On the building side, our buildings business is getting steadily better. As you know, we repositioned the business to deal with the downturn in the federal contract environment. It looks like federal business will be coming back. We're seeing it come off a pretty significant weakness with some strength. We're seeing high-tech is a particularly strong aspect of the business, both mission-critical and data-related activities. And again, SKM has brought us a very strong position in both infrastructure and buildings to leverage across the globe. When you look at this business, the backlog is up again. I think that's a really good story in what people perceive to be a difficult market, and we had a pretty nice surge in government contract -- federal government work in quarter 4 of last year. There's evidence that we're going to see a similar surge this year as our customers try to spend what they have budgeted. So overall, public institutional looks like a decent market for us as we look forward. Moving on now to the -- what we call the industrial markets, I'm on Slide 10. Let me start with pharmabio. We have a terrific skill set. We remain one of the leading players in the industry with full integrated EPCM capability, lots of know-how in Lean project delivery that is somewhat unique. We think we're going to be able to continue to leverage that. The product pipeline is picking up. In fact, I would characterize this industry has gone from somewhat blah to somewhat boom. We've identified more than $2 billion in new starts in a form of either new starts or new retrofits, so we think the near-term look for this business is much improved from where it was. We see good investment in India and Asia. We've talked about the Indian domestic market and its expected growth. And then, of course, animal health and consumer products are closely related businesses. Some of our key customers that made acquisitions in that area that we think will also drive some growth for us. Moving on now to mining and minerals. It is a depressed market, overall, but we see lots of opportunity for us to continue to grow. In particular, that relates to sustaining capital work and asset optimization. It's a big area of spend for our customers trying to get more out of what they've got, as opposed to building new. And I think that plays very well to our strengths in the small-cap and sustaining-cap marketplace. We are seeing a few big projects but it is still relatively few big jobs out there to win. Moving on now sort of to the other category, pulp and paper, power, high-tech, food and consumer products, kind of a mixed bag. We're seeing some activity in power, both in the U.K. and in Europe, as well as some activity in the Middle East. We continue to have very strong niche in the world of geothermal power. Alliances are also picking up as we move to consumer products, particularly strong for us because most of these alliances with international food and consumer products players are India-centric, and we have a terrific position to support those customers since we've been in that India position with those customers -- selected customers in the industry for a very long time. And now there's a fair amount of activity expected in the industrial facilities area in the U.S. and we think that'll be a positive for us as well. Overall backlog is flat quarter-over-quarter and year-over-year, so I think that's not surprising given the weakness of the mining and minerals market in terms of big projects. Moving on now to the process business, that's on Slide 11. Refining oil and gas, chemicals, pretty much the heavy hydrocarbons business. Refining remains a very good market for us. There's lots of investment in the U.S., in the Middle East, in Asia, in South America. Our acquisitions have positioned us extremely well to deal with those things, so things like ZATE, Aker, SKM, Guimar have put us in a tremendous position to leverage our capability in refining into those markets. And we're seeing a significant success in that places like the Middle East. There's a lot of activity in North America from the safety and compliance-driven projects, so this is tier 3 gasoline and the ISA 84 programs, the controls program. The combined spend there is probably something north of $20 billion over the next 5 years or a little less. And it plays very well to our strength, so we think that's going to be a terrific opportunity for us as well. Moving on now to oil and gas, still a very strong market globally, still a lot of investment in North America. CapEx is at historic highs. We see a lot of opportunity in the midstream and pipeline services areas. We've had some significant wins onshore in both upstream and midstream. Our Eagleton acquisition has been a nice leverage point for us as well. So there'll be a fair amount ongoing investment that I think we're in a great position to support. Obviously, the gas monetization business is not one that Jacobs plays in as a major player, but we are starting to see some opportunities for what I'll characterize as flow down projects, off-sites, utilities, that sort of thing. Up in the oil sands, the focus is still cost efficiency. Our gen-10 processing facilities in our Jacobs-branded well pads are a very strong position for us up there. And now that West Texas Intermediates moved up above $100, I think that bodes well for continuing investment in the oil sand. Moving on to chemicals. We've all heard the story there, lots of low-cost gas driving projects, tremendous volume of pre-FEED and FEED work, both in the shop today and backlog, and we're coming. Jacobs has great strengths in both derivatives and in the methanol cycle. We're doing quite well in terms of, again, winning FEEDs and pre-FEED. But it is a slow process to get the customers to release their budget. We're just not seeing the flow of projects from FEED into execute, that we'd like to see. And so that remains a challenge in the chemicals business as we go forward. Looking at the backlog numbers overall, good, flat quarter-over-quarter. Backlog can be pretty lumpy in these businesses, but good growth year-over-year. Moving now to Slide 12, our acquisition focus. We're pretty narrowly focused in the near term. Largely, our focus is on North America for upstream and telecommunications projects. We'll be pretty niche-focused on those acquisitions in the near term as well. The good news is that the acquisitions that we've made recently are all working quite well, Eagleton, FNS, SKM, Guimar, FMHC, all those acquisitions are now contributing in ways that we expect, and in ways that we didn't expect, very positively for the company going forward. Moving on now to my commercial slide, why Jacobs? We continue to have a unique and strong relationship-based business model with a high repeat business and a very unique market position. We have diversified markets, geographies and services, and that's certainly working for us. I think it's important that we're able to continue to grow, for example, in the public sector in spite of what people believe -- perceive is a pretty weak public sector market. We continue to be able to grow backlog. It is lumpy but we are demonstrating growth, and I think we'll be able to continue to do that. We've got a great balance sheet and a strong position going forward. And our cost position, I think, particularly after this restructuring, is going to create a really solid position for us from a competitive point of view as we look into FY '15 and beyond. So with that, I will turn it over to questions. Jamie, back to you.
Operator: [Operator Instructions] Our first question today comes from Andy Wittmann from Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Maybe, John, to start with you. I wanted to dig into the organic growth rates of the company. Can you talk to us about what the acquisition revenue contribution was for the quarter? And I don't even know if we got it for last quarter as well. It seems like it might be kind of flat to maybe down a little bit, but you tell us. And how do you reconcile that kind of performance versus a backlog which has been kind of steadily increasing or at least flat?
John W. Prosser: Well, as we've been saying the last couple of quarters is that our underlying legacy operations have been slow and aren't growing up to what we had anticipated coming into this year, and so a lot of that has to do with the activity levels and the conversion levels, and a lot of the heavy process that just hasn't been moving as quickly as what we anticipated. We're still seeing things flowing into the backlog, but they just aren't converting as quickly as what we thought coming into the year. And think that's one of the reasons we've lowered guidance, besides all the fact -- the other things that have happened both in the first half and now the restructuring in the second half. Specifically, to the revenue, we don't do a lot of breakout because it's hard to start measuring that and continue to measure that after the acquisitions. As we start to consolidate, to move things around and even identifying backlog because, in some cases, we might have both been looking at the same prospects. And when we win it, is it because of Jacobs or because of the acquisition or is it because of both? So we lose that visibility, the clarity fairly quickly. So having said that, the contribution from primarily SKM but also from companies, other much smaller acquisitions that Craig picked out was probably in the $0.25 million -- $0.25 billion range, or $250 million, plus or minus. And that's kind of in line with what it was last quarter as well. So FNS didn't come in until July 1, so there's nothing in the June quarter that would be from FNS, if the others had come in earlier.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it, that's helpful. And maybe just a follow-up here on some of the restructuring initiatives. Since you're pretty well down that path now, can you give us a better sense about what the dollar amounts might be on an annualized basis? Maybe how much you've recognized now and how much you expect that you might be able to pull out when you're done with the initiatives that you have in place?
John W. Prosser: Well, we don't give guidance in the future until -- we will be giving guidance on '15 at the end of our '14 year, so certainly, the benefits of that will be incorporated to that. At this point, we're not going to give any specific guidance for '15 or for the restructuring. When you look at the restructuring dollars that we're putting out about -- it's almost exactly 50-50 between the amount that's being spent on facility restructuring. In other words, getting out of leases and stuff like that, and the amount is being spent on people restructuring, which is a reduction of headcount or getting rightsized in geographies and such that we talked about. And so the people, obviously, tend to have a little faster payback for the most part, and the real estate has a little bit longer payout. But as we've analyzed it and all, the payout will be -- certainly justifies the actions that we have taken. But beyond that, we're not going to get into specifics at this time.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then maybe a different way of asking something similar. But clearly, SKM, it appears like it's having an impact on the distribution between growth and SG&A margin in terms of just mixing the higher gross margin. Is there anything in the quarter -- I mean should we assume that the restructuring charges were 100% in the SG&A line and that if you extract, if you pull that out, maybe is the run rate -- is there anything unique about the run rates and gross margin at 17.4% or SG&A margin at 11.8% which, adjusted for that, that would be unique to this quarter?
John W. Prosser: No, not really. I mean, if you get into -- take the restructuring, and we gave some of the detail of the restructuring costs, and they all are in the SG&A. Get some benefit against bonuses and such that the gross dollars are a little bit higher than what is shown at the net SG&A charge. But they all are in the SG&A line. And if you take the amount, as you've done, I think the underlying operations were pretty solid for the quarter. And there wasn't any real unusual items. Just like most normal quarters we have some pluses, we have some minuses, but it was -- everything kind of took care of itself.
Operator: Our next question comes from Jamie Cook from Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: I guess 2 questions. One, just on the margin side if you exclude the restructuring, the margins were pretty good in the quarter. Is that just mix-related -- is that just mix or can you talk through what the -- what was driving the better margins? And then I guess just my second question, I guess, Craig, it's more a strategic one because nothing else macro or fundamentally seems to be changing here. I mean, what's the risk, as you look at the company, that your historic business model, in terms of you doing acquisitions to help drive growth and you focusing on the smaller projects versus the bigger ones, that it's going to be much -- given your size today, that Jacobs -- that the law of large number is starting to work against you, relative to where you were historically so you need to win bigger projects or do bigger deals to generate the EPS growth that you have historically? Because you don't seem as committed to 15% as you have been historically.
John W. Prosser: I'll answer the first part which is the margin, and I think the margin line is pretty much in line taking out all the noise we had in the first half is kind of in line with where we were before the end of last year and where we continue because of the mix being more predominantly professional services. Also I think that some of the softness that we saw, particularly in our second quarter, as a result of the holiday vacation activities at SKM and other places did work its way through and that's behind and I think SKM is operating on a more in-line with more of the expectations that we originally had for them. And so the margin I think is kind of where we kind of expected it to be.
Craig L. Martin: Jamie, it's interesting that you've asked that question because we had our senior team together all last week, basically, to look at actions and how we were going to go forward into '15 and beyond. And one of the things we looked at with some care was where our business model is and how it's working. And the conclusion we reached is that we're well-positioned in what is the largest segment of the marketplace, the small-cap area of the business, and that we should be able to continue to drive the growth that we've committed to and we are very committed to that 15% compound. We're struggling to get it, I accept, but we are very committed to it. If we continue to keep our focus where it belongs. If anything the criticism that came up in that discussion is that we've gotten a little bit too enamored with big projects, and maybe lost a little focus on our base business model. And so that's where our thinking is today, and I think we have every reason to believe our business model will support the kind of growth that we're committed to. Does that answer your question?
Jamie L. Cook - Crédit Suisse AG, Research Division: I guess. So I have 2 questions related to that, and then I promise I'll get back in queue. I mean you have been talking over the past couple quarters, I mean you say you don’t want to focus on big projects as much, but you have commented before there are a number of larger projects for you in the $1-billion-plus range or so, where are they today relative to what you saw in terms of moving forward? It sounds like pushed to the right. And then I guess my second question is, I mean why the reluctance to help us understand, I mean the restructuring charges you're taking are material for you in terms -- on an EPS basis. And they're material relative to anything you've done historically. So why is it acceptable that you're not helping people understand how we should think about the benefit in 2015, given the magnitude of the restructuring? I mean why wouldn't we assume you could at least get back what you -- we should get -- you should at least get the benefit of the charge you took this year?
Craig L. Martin: Well, let me talk about the $1-billion project conversation first. Remember that we've always characterized this small project strategy as a Pac-Man strategy, i.e. one where we're able to eat up from underneath and increase our share of wallet by doing progressively larger projects. And that certainly remains a part of our strategy today, and these $1 billion jobs that I've talked about remain things that Jacobs is capable of doing and we continue to win some of those projects and lose some, just as you would expect. So I'm not suggesting those aren't important or that we're not going to continue to see that Pac-Man strategy work to our benefit. But I think our focus still needs to be where our base business model works best. And so that's really the key that we were talking about from an earlier perspective. I said of those $1 billion jobs we've done well in terms of wins and about maybe not quite so disappointed at the loss ratios you might expect. But the biggest struggle is getting those projects to convert. So we can be sitting on lots of nice FEEDs for $1-billion projects but if they don't turn in to execute, they don't really have much of an impact either on backlog, revenue or the P&L. And that's clearly a factor in terms of where we sit today. So as to the second question, I'll comment and then I'll let John add his. We will be prepared to talk more about the impacts of the restructuring as we talk about guidance for '15. But to have a discussion about the impacts of restructuring today and not be able to have a conversation about guidance for '15 is like half the equation. And I just don't think that's right. John?
John W. Prosser: Yes, I agree with Craig. And historically, be it acquisitions, be it other things, we don't give piecemeal guidance. We give directional guidance, we give kind of strategic or qualitative guidance rather than quantitative guidance. And I think we just waited -- decided to wait and give the full picture for '15 and beyond. We have said that this is going to have a return, and the return, we feel, justifies the expense. And that as we go forward, you'll be seeing that impact in the financial statements, but it's just part of our -- what we will be reporting on as we go forward.
Operator: Our next question comes from Will Gabrielski from Stephens.
Will Gabrielski - Stephens Inc., Research Division: So you made a comment that 96% of your business was repeat this quarter, and that was new record. Is that in any way indicative of a lack of discrete opportunities or -- and maybe that's why your organic growth is negative? Or is there something else driving that high of a percentage of repeat business?
Craig L. Martin: It is not indicative of a lack of new opportunities. Our business is built around working for the big spenders in all the industries that we serve. And in no case do we have a share of wallet of any of those big spenders that even approaches double digits. So there's huge opportunity for us to grow on the back of repeat business, and the high-repeat business is an indication that we're putting our energies and focus where we should, which is with those clients that have big capital budgets where we can grow share and build relationships. What we find is that people who are not in that category tend to be people that we find challenges to work with. And sometimes they're folks who don't have any experience with major project investments, for example. Those kinds of projects are the ones that can seriously go south, and we try to avoid those as best we can. So I don't think that our high repeat business number is at all indicative of the some limitation on our growth, quite the contrary.
John W. Prosser: In that, when we do get a new customer, and we are looking in adding customers, it tends to be smaller work to begin with. We get in through doing a FEED or doing some studies and such, and then we grow it. So it's not like it's likely that a new customer would come in with a significant award in a given quarter. It tends to become a growth structure all on its own and after a couple of quarters of doing FEEDs or smaller consultancy kinds of things, it becomes repeat business as we grow it. So I think that's right in line with our model as well.
Will Gabrielski - Stephens Inc., Research Division: Okay. Was SKM accretive in the quarter? I know you called it out in the prior quarter, so I'm just wondering if there's any color any can give there?
John W. Prosser: Yes, it was. It added about $0.11.
Will Gabrielski - Stephens Inc., Research Division: Okay. When you look at backlog conversion, I mean you're talking about negative organic growth year-on-year, if we use your numbers. Is there something in backlog that we should be worried about? Is that risk of cancellation? I mean your backlog either accelerates and converts into revenue here or goes away, I guess, right? Those are the 2 outcomes. So what is it about that backlog that we should even feel confident it's going to contribute to revenue growth in '15?
Craig L. Martin: There's always the risk of cancellation risk. Backlog can be strong, and if customers decide they're just not going to go forward, you can see a fair amount of work fall out of backlog. Probably lower risk right now because of the nature of the work that's in backlog than it is historically. Certainly, for example, construction-related backlog is more vulnerable to cancellations than service-related backlog, has a longer tail and it's the bigger part of the costs that the customer might incur. So those risks are out there. But I don't see any evidence that those risks are things that are likely to materialize. When we talk to customers about their projects and programs, it's not about not doing the work, it's more about timing of doing the work in terms of when is it going to happen. And of course, we've been very careful about putting things in the backlog until they've gotten that final investment decision or until we're fairly certain that they're going to happen. So I think the risk of backlog not converting is not particularly high, it is in fact low. But like I say that we get a global financial crisis or something happens with oil prices, that would certainly have an impact.
Will Gabrielski - Stephens Inc., Research Division: Okay. And then one last one, sorry, but cap allocation. So I think the market's sending a message to Jacobs that something's not right. And Jacobs sends a message back that we're going to keep doing what we're going to do. So I'm just wondering, from your perspective, when you look at your balance sheet, why that isn't a viable source of opportunity to go into the market and send a message back?
John W. Prosser: I would say that the underlying foundation of that is we still believe there's opportunities on the horizon for acquisitions and have continued to -- will continue to feed that above organic growth kinds of rates that we talked about. As Craig said earlier, we're still very committed to that 15% long-term growth. And in that model, there's a portion of it, 1/3 or so of it, that's going to have to come from acquisitions. So while we can't time those acquisitions, particularly the ones on the larger side, they come when there's opportunities, in the short run, we're going to build our balance sheet so we can take advantage of that. In the long run, if we got to a point where our cash continued to grow and the opportunities for deploying that capital as for acquisition grows and growth of the business, then as we said, we will have to look at alternatives. But we don't think those decisions are made on a quarter-by-quarter basis, but they tend to have to be made looking at our longer-term horizon. And we don't believe that the performance in the last couple quarters and such is indicative of what the long-term growth opportunities for us, both from our own organic growth and our long-term acquisition growth. So we continue to discuss that both with management and at the board level. And we look at the allocations of capital, and is there something we should be doing. And at this point, we are managing our capital for the long-term growth of the company.
Operator: Our next question comes from Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just coming back to the margins, the 5.6% margin x restructuring reflects that 60% mix of professional services that you talked. But I'm just trying to get a sense of how much pressure you might see there if the mix moved back to sort of a 50-50 balance? With the restructuring, I mean, should we assume that you could keep it above 5%?
John W. Prosser: So I think our long-term margin will continue to trend up. There will be a little bit of headwind as we get through, probably '15 as more of the construction activity that we're expect is coming in. But at the same time, we believe as that activity starts picking up, we'll have opportunities to improve our overall margins on both sides of the -- on both markets. So we'll have a little bit of improvement on the professional services that'll help offset some of the weight. And given our mix of business, and certainly the activities we have outside the U.S. and such where we're more likely to do things on a construction management modes and such, that I don't think we'll see -- I'm not sure we'll get back to 50-50. I mean I think that we'll see a period of time when the field services and construction grows as we go through probably later '15 into '16 and such. But I would think that we should be able to maintain margins somewhere around the mid-15 -- mid-5 to 6 depending on the mix. So I think, as we see the markets start moving a little bit better and accelerating, we might see an uptick in the margins before we see the pressure coming from the construction as well. So I would think that margins will be steady to up over the next couple years rather than down.
Steven Fisher - UBS Investment Bank, Research Division: Okay, that's helpful, John, and then...
John W. Prosser: We have good continuing G&A control is going to help add to that.
Steven Fisher - UBS Investment Bank, Research Division: Okay, good. Could you guys talk about how contract terms are developing in the marketplace in terms of fixed price versus cost plus? And is that affecting your organic growth rate at all? And maybe what's your willingness to take on different risks than you might have historically to kind of get things going a little bit faster?
Craig L. Martin: Well, certainly what we're seeing in the market from a lot of our customers is a more aggressive position with respect to contract terms. That's a broad characterization, so it has to do with not only whether it's fixed price or not fixed price. But as much to do with limits of liability and payment terms and a whole bunch of other issues that impact the business. So our main customers are perceiving the market as being weak, that's certainly an expression of the pricing discussion that we had earlier, and they're trying to take advantage of that by imposing more challenging contract terms. Although I think the lump sum issue is less of a factor than the other terms might be. With respect to lump sum contracting, our customers continue to be anxious to go lump sum in jurisdictions where that's easy to do and there's lots of competition, so certainly we're seeing a lump sum EPC in the Middle East as an ongoing method of delivery. In places where it's more complex or where there's concerns about the availability of labor, we're not seeing lump sum contracting to the same degree. We do see, from time to time, customers take on a lump sum contract because one of our competitors has decided the only way to win is to take that construction risk. And so far, we've very successfully resisted going there. So that's kind of the landscape. We're trying to continue to do the same job we've done in the past in getting conservative terms that balance the risk-reward. But it's certainly a tougher environment in which to try to do that. Did that answer your question, Steven?
Steven Fisher - UBS Investment Bank, Research Division: Yes, it did. And have you completed those European projects yet that were challenged last quarter?
Craig L. Martin: One of those projects is operational. The other project is not yet complete, but we don't see any further risk in that project.
Operator: Our next question comes from Andrew Kaplowitz from Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Craig, so everything -- in your presentation, everything except one segment you listed as improving or strong or growing. And so I guess my question is with those descriptions, do you have any better visibility toward an acceleration in backlog growth? And what do we need to get there? Do we need better economic conditions with a little inflation help? As we sit here today versus, let's say, last year at this time, do you have any better visibility that backlog growth will increase for you guys?
Craig L. Martin: Honestly, I can't say that we do. As I sit here and look at where we are with our customers and what they're telling us about the drivers for them to make investment decisions, I'm not seeing a significant certainty time-wise about when they're going to make those decisions. So in terms of real backlog acceleration, I just -- I'm very frustrated, but I can't predict when that's likely to happen. And I've been wrong before in terms of trying to predict it, so I'm maybe a little overly cautious right now about that. There are some businesses we're in where the drivers are regulatory and we're coming up on the point where those particular projects will have to be built. But even that could be as much as 5 quarters 3, 4 quarters away. So for us, at least, it's a very difficult time in terms of trying to predict when this stuff is going to start happening and when it's going to start going our way. And I'm very frustrated by that but that's the truth of the matter.
Andrew Kaplowitz - Barclays Capital, Research Division: So I guess, Craig, how would you characterize this time? Are we in some sort of mid-cycle pause? Some investors tell me that they think the cycle is over already. Like what do you guys think if you look at, I guess I would focus more on your heavy-process business in making this -- in having this question, but where do you think we are in this cycle?
Craig L. Martin: I certainly don't see any evidence that the cycle is over. I do see an abundance of caution from our customers about the cycle and where they are in it and what the likely outcomes are for their projects. And I think that's actually turning this in from sort of what I think we all believed a couple years ago was going to be boom-like into a much more protracted, less boom-like environment. And so in some ways, the customers are getting what they want out of that, pricing staying down, competition staying high and so projects are getting done, logically speaking, at lower costs. So I think that's more of the situation as I see it. The issues are cost certainty, permitting certainty, a little bit of overall economy. When I talked to some of the executives at the tops of the organizations we work for, the general belief about the strength of the economy is not as good as what the popular press would have you believe. And I think that's also affecting that sort of on-the-border decision, should we go ahead and commit or not, let's wait a little while. All those things seem to be adding up to a protracted boom, if you want to call it that, rather than the kind of boom that I think we all were expecting when the cheap gas phenomenon first started.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, Craig, that's helpful. One of the outcomes of the situation seems like larger consolidation in the space. I know you guys see the same things that we do. How do you think that this impacts your business? And do you think this gives you some incentives to go after bigger acquisitions? Do you need to go after bigger acquisitions given the consolidation that we're seeing happen in the bigger E&C space?
Craig L. Martin: We've looked at the consolidations a bit to try to understand what the impact might be on us. Frankly, the ones that we've seen, we don't think will have a particularly significant impact. Certainly, some of the combinations look like they certainly bring scale. But in most cases, it doesn't appear to us that they bring concentration. And in a few cases where they do bring concentration, it's in markets where, we believe, the customers tend to split the baby and share the work around. So where a concentration is occurring in a couple of these businesses, it's in a market where the customer says, "Well, everybody gets 10%." So 10% plus 10% equals 10%. And so that might actually be good for Jacobs if our share is 8%, we might get to 10% or maybe we can get to 11% or 12%. So overall, as we look at what happened so far, we don't think that has a meaningful negative impact on our business, nor do we think the story that those bigger companies might be able to tell the customer will drive them to choose one of the bigger companies over Jacobs. We have sufficient diversity and geographic reach, that we're pretty well credible in every market we serve. The only place that we're not credible is power, and that's not really a market we've gotten a lot of traction in yet. So I think the net of all that is that these consolidations aren't that bad for Jacobs. So that's part 1 of the question. Part 2 of the question, in terms of needing to do bigger deals, I don't think so. I actually think that the opportunity to continue to do smaller deals, the SKM-scale deals and less is every bit as big as it's ever been, and I think they are considerably lower risk. I think the premiums that you have to pay for the earnings are considerably lower as well. And so when I look at the whole thing kind of on balance, if anything, I think it will allow us to accelerate our growth in terms of getting good acquisition deals and then being able to leverage those. Big public company deals still scare me, frankly.
Andrew Kaplowitz - Barclays Capital, Research Division: Got it. And just maybe a very specific question on telecom. You're moving into telecom relatively quickly. The spend this year seemed a little more choppy from some of the big customers. Have you guys seen that? And what do you see for telecom going forward, specifically?
Craig L. Martin: There's no question in my mind that the spending has become a bit more choppy in the telecom business. We've seen some customers pull back in one area, advance spending in another area, ship suppliers. The net effect of all that, at least as we sit here today, for us, has been positive, it's allowed us to increase our share. And we think we're going to be able to continue to do that. I still think we're on track for that being a $1-billion business in a very short period of time, looking forward.
Operator: Our next question comes from Brian Konigsberg from Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: I just wanted to touch more specifically just on chemical. So you noted, particularly, there more measured approaches from the customer base. Is that specific -- I mean we heard from one of your peers some of the crackers actually are moving ahead and anticipate quite a number will be released still in 2014 domestically and a number internationally. Is your comment more specific to the secondary and tertiary plants? Or do you see that reluctance really across the board?
Craig L. Martin: Well, I can't really speak to the ethylene cycle other than to -- and offer an opinion as to about what it's going to cost to get it. I do think some additional crackers will get approved. I think of the number, I think it's 9 or 11 that have been suggested will go, we're not going to see anywhere near all that. I think you're looking at, longer term, another bust in ethylene pricing if all of that gets built, so that's a challenge. With respect to what that means to us from a chemical standpoint, obviously, we're very derivatives focus, we're not in the ethylene cycle. And so the more crackers that get built, the more opportunity there is in the derivatives world. So we would see additional crackers being built, being released as a positive for the business overall. We also see it as a positive for availability of resources and our ability to increase prices. So in the grand scheme of things, more ethylene is a good news story for Jacobs but it's probably longer term than for folks who are primary ethylene cycle providers. If you look at the rest of the chemicals market, there's a substantial part of the business that isn't driven by ethylene expansion. There we're seeing projects that are really stuck on the money side of it or stuck on the permitting side. We got a couple of customers with very major expansions whose whole issue is we're not doing anything until we get permits. And that could push that project, one in particular I'm thinking of, out for another 15 months before the permits are available. I'm confident we'll do the work when the permits are available and I'm confident they'll get the permits, but it's certainly pushing out the timing for when the job might get to go. So it's those kinds of things. There's a lot of money being spent in the heavy process industries, between oil and gas and chemicals, in particular, there's a lot of money being spent. When we look at it, the vast majority of that is going to exploration and production, but there's still pretty decent expectations for the chemicals market. I think for us, though, we need to see a little more willingness to go to that final investment decision to really start to drive the backlog in the earnings. Did I answer your question?
Brian Konigsberg - Vertical Research Partners, LLC: Yes, you did. And just secondly, maybe just touching on the tier 3 upgrades in the U.S. I think you previously talked about something in the order of 80 to 90 projects, several hundred million dollars apiece. Maybe give us an update on how big the pipeline is as you see it today, and how quickly that comes to market.
Craig L. Martin: Pipeline continues to look good. There's probably 80 or so -- 80 to 85, I guess, would be the right range of those kinds of projects out there. Probably average size is something like $200 million, although they're quite widespread. So it's plus or minus maybe $15 billion, $17 billion of the investment. We think we're about 40% through the award cycle for those projects, maybe a little better. I didn't look at it for this quarter's review, but last quarter, we were right at 40% awarded, 60% yet to award. So there's still a substantial amount of work out there. And of course, the awards start in the FEED cycle, so there's still a substantial amount of EPC or EPCM work to be awarded even in the 40% that have been awarded on a FEED basis. We've done very well. I think I cited last quarter about 50% of the ones that have been awarded have been awarded to us. And that's, I think, a pretty good hit ratio in this industry. And I have every reason to think that's going to continue. A number of the customers are continuing to be able to buy credits or otherwise work around the tier 3 rules, so I think that's driving some slowness in the award cycle. I would've told you a year ago that almost everything would be awarded by now. But as I said, we still got about 60% to go. So good opportunities, good outlook going forward. We are finding people who have just completely avoided the problem, they are all going to have to address the tier 3 regulations, it's just a matter of timing.
Operator: Our next question comes from Vishal Shah from Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Just wanted to follow up on the comment about pricing pressure. Can you talk a little about where you're seeing the pricing pressure most severe? Is it in a particular segment or is it across the board? And how are you seeing the wage inflation in light of the pricing environment?
Craig L. Martin: Sure. Pricing pressure is probably strongest in the heavy-process industries and in mining and minerals. Mining and minerals driven obviously by the shortage of work, and the heavy-process industry being driven largely because most of the work today is engineering-related, and engineering has become increasingly fungible globally. So when we look at those businesses, the opportunity to move margins is relatively limited. We're getting tiny improvements in our margin, and I mean like 4-basis-points improvement in our margin. But the progress is, practically speaking, it's flat. And I think we're doing well to hold it flat, quite frankly, because we're seeing some very aggressive behavior by some of our competitors. In other businesses, the pricing pressure is not so strong. For example, Pharma is looking better because of this increase that I just -- I mentioned earlier, and the number of projects that are out there. A lot of the, sort of, what are other markets for us, so high-tech, power, pulp and paper, food and consumer products, pretty price-neutral, not much movement one way or the other there. And on the government markets, it still continues to be a cost-plus market. And so for the most part, that business does not -- is not experiencing much in the way of pricing pressures, although the federal government aspect of that public and institutional market is seeing a little pricing pressure as the customers start to drive recompetes for a higher proportion of price in the evaluation criteria. So it's a mixed bag across the board. In terms of geography, by industry, there's not much variability. So wherever you are in the world, in the oil and gas business, the pricing pressure is about the same. Where you get markets that are more geographically specific and limited, again, I'll go to public and institutional marketplaces, pricing pressure is probably not quite as great. But again, things like federal government, pretty significant. Did I answer your question, Vishal?
Vishal Shah - Deutsche Bank AG, Research Division: Yes, you did. That's very helpful. Just one follow-up. Is this mostly coming from international players? Or are you seeing companies from the U.S. that are being more aggressive?
Craig L. Martin: We don't see -- let me talk first about what -- can you all hear me okay? [Technical Difficulty]
Craig L. Martin: Let me separate international competitors into 2 categories. So one category would be Japanese, Koreans, Chinese, Indians, some of the more low-cost EPC-lump-sum-oriented organizations. We generally don't compete with those companies and so I can't really speak to pricing there, although I suspect it's not a fun business to be in right now. We see the big U.S. and European players, so the CB&Is, the Foster Wheelers, the AmEx, the Atkins, as well KBR, URS, AECOM, Fluor, Bechtel, those folks from the States. And there's the place where I'm describing what I see as the cost pressure. So it's not Koreans because -- or those or the Chinese that are affecting our numbers, particularly, it's much more that competitors set of the U.S. and European public companies in the engineering construction space.
Operator: Our next question comes from Jerry Revich from Goldman Sachs.
Matthew Rybak - Goldman Sachs Group Inc., Research Division: It's Matt Rybak on behalf of Jerry. I wanted to start off and hopefully take a second if you don't mind to kind of flesh out the U.S. public construction outlook and possibly provide us with an order trend update and what you're seeing in that end market currently.
John W. Prosser: When we look at the U.S. market, primarily, I think you're talking about what we would categorize as our building and infrastructure, because most of the federal government and such tends to be more professional technical services than heavy construction and such. I think that what we're seeing in both those markets, as well as opportunities globally is on the infrastructure, there continues to be good opportunities, good spend. State and local governments are finding alternative ways of funding projects, either through design build, 3P kind of opportunities or bonds or revenue. [indiscernible] they are not waiting for resolution of the federal government, as such. On the building business for us, the public building business still is fairly soft, particularly the federal government. But we're seeing opportunities, and as Craig alluded to in his comments, we have made a switch -- or a movement of that, focusing more in the private sector or quasi-private sector where you get into health care, which would be hospitals, clinics and such, or in some of the mission-critical data center businesses which tend to be more private sector, but there's a lot of activity in those markets. So we see those both as directionally good. They are becoming more of a global market for us. But we're also seeing opportunities, from a global aspect, that 3, 4, 5 years ago, we wouldn't have really focused on in those markets as well.
Matthew Rybak - Goldman Sachs Group Inc., Research Division: Sure, that's really helpful. And then switching gears a little bit onto the SKM integration. Can you just talk a little bit about, and I know you've discussed how it's progressing, but just how that might -- that integration is kind of different and/or similar to other acquisitions? Have you been able to pick up things, from prior acquisitions in the past that you're able to apply to this one, or is it completely disparate in sort of takeaways?
Craig L. Martin: Let me speak to that. It isn't at all different from previous acquisitions, in the sense that the issues for integration and both the people issues, the systems issues, the process and procedure issues, are all pretty much the same. And we have applied our learning from the 60-plus previous acquisitions to the integration of SKM. And we've had the benefit, because SKM did a lot of acquisitions, of being able to apply their experience in doing acquisitions as well. And in fact, in some cases, that's made the integration easier because SKM is already accustomed to the kinds of things that had to happen in acquisitions, and so the team expected some of those kinds of changes. The differences in terms of the SKM acquisition are all, for practical purposes, are all relations to the timing. So catching the summer holiday and some of the challenges with the integration costs in the early process, the weak market in mining and minerals, all contributed to a slower start than we usually expect from an integration. But we think we have almost all of that behind us at this point.
Operator: Our next question comes from Michael Dudas from Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, how is your client's refining market looking at the condensate export issues and how that could have an impact on potential spend and flows?
Craig L. Martin: I can't probably give you a very good answer. It isn't a conversation I've had with those clients recently. My overall speculation is that it's going to be a factor in their decision making but not a major factor. But as I say, I haven't really had a chance to sit down with the key players and say, "What's this going to mean to you?"
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: But it does seem from the tone of your prepared remarks, given some of the rumors and some expansions we're seeing that might happen in the Gulf Coast, that the opportunities for the refining business still is quite strong for the company, no?
Craig L. Martin: I think the refining business will remain a strength of the company. I think there's significant opportunity out there. As I said in my prepared remarks, I'm more excited about tier 3 and controls-related activities, the ISA work, because I'm -- there's a fairly high degree of certainty that it will happen, and there's a deadline by when it has to take place. I think there are going to be crude slate changes. I think there will be configuration opportunities as well. And those will be a positive, no question about it, but we remain very positive about the refining market, overall.
Operator: Our next question comes from Tahira Afzal from KeyBanc Capital Markets.
Sean Eastman: This is Sean Eastman on behalf of Tahira today. First off, this has been mentioned briefly but I was hoping you could talk a bit more about your initiatives, both on the midstream space, as well as the telecom space and just how you're feeling about the outlook.
Craig L. Martin: Sure. Let me start with the midstream/upstream space. We've done a number of very small acquisitions there, and we're in the process of consolidating those. That's starting to get significant traction. We've had a number of awards, a couple of which we've been able to announce, that are fairly significant in terms of North American alliance kind of levels of relationships. So my expectation is that, that will continue to be a good market and we will be able to continue to accelerate our growth there. The challenge is simply that we're starting from a small base. This wasn't a business we were particularly noted for, even 3 years ago. And so we're really -- we're running hard. And I think we're going to start to see some real contribution from that growth. On the telecom side, I think it's very much the same thing. The customers clearly want a first-tier supplier. They are -- in some cases, I think they're happy with the -- one or more of their first-tier suppliers today, there are a couple already. But I think the idea of having another supplier or 2 at that level is very attractive to them. And there are some customers expressing dissatisfaction with their current tier 1 providers, or at least 1 or 2 of them. So I think the opportunity remains very significant, and we're gaining traction every day. That business, I think, will grow pretty rapidly over the next couple, 3 years. And as I've said, I think it won't be long before that's a $1 billion business for us. So both markets, both relatively nascent for Jacobs represent significant growth opportunities.
Sean Eastman: Okay, that's helpful. And also could you just provide some qualitative commentary on the outlook for pass-through revenues next year versus this year?
John W. Prosser: Pass-through revenues tend to follow construction. Although some of them come up in the technical services space when we're subcontracting services and stuff like that, so there's activities there and such. But it tends to be a function of the direct-hire construction or the construction where we're doing it with -- on our paper, even though we might be doing it through subcontracting and such like that. So it'll bounce around quarter-to-quarter just because project activity levels do move around a little bit. But it tends to track more the field services revenue than the professional services. And looking through '15 and '16, it's probably mid to late '15 that we'll start seeing the field services numbers growing and out into '16, so we'd probably see the pass-throughs picking up as we get late into next year and beyond.
Operator: Our next question comes from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Two quick things. First of all, John, what are you using for total restructuring and unusual charges for the 9 months?
John W. Prosser: That would be, as we talked about in the first 2 quarters, the first quarter was a net of $0.05, the second quarter was a net of $0.19, and those were the unusual items. And then this quarter, we have the $0.35.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, I just wanted to make sure. And then secondly, Craig, in terms of your strategic planning that you referred to earlier and recently and 15% growth rate, with your comments about a somewhat slow overall recovery and market growth, do you have to increase the acquisition contribution assumption for more than just 1/3 to get to that 15% on a long-term basis?
Craig L. Martin: I think there's 2 different -- or 3 different questions there, let me try to answer them. In terms of the long-term basis, as we model out growth, that 1/3 kind of number continues to be and look to us to be fine. So as we think about the long term, the likelihood of needing more than that in an acquisition growth hasn't changed. I don't think we will need that. But as you know, the acquisition business can be pretty lumpy. And so we're going to see some years where the acquisition growth is significantly greater than the organic growth. And we're going to see other years where it's just the opposite. I can recall years where we grew earnings 20% and had no acquisition growth. And I can remember other years where we grew earnings 20% and almost all of that came from acquisitions. So it's a mixed bag in that regard. If I think about where we are right now, I'm not running around worrying about going out and making more acquisitions to drive the growth number. I think we're in a great position to drive the growth number going forward. I think we've got a -- still got a lot of leverage in the recent acquisitions we've made. So our strategy -- acquisition strategy in the near term is very targeted. All that goes out the window if an opportunity that just makes a huge amount of sense for the shareholders shows up. But there's not one knocking on the door at the moment anyway. Does that answer your question, John?
John B. Rogers - D.A. Davidson & Co., Research Division: It does, I'm just trying to -- just seems like it's been so long where we've seen anything near 10% organic growth. And it seems like we're a long way away from getting back there, given the market.
Craig L. Martin: Well, '13 was a relatively slow year from an acquisitions growth, and I think we had 10% organic growth at the bottom line or pretty close to it. So I think it's a year-by-year thing. And it's a constant challenge. But I don't think long-term 10% organic growth is not something that we should expect. And I don't think long term we can expect -- we should expect less than that 15% compound.
Operator: Our next question comes from Justin Ward from Wells Fargo.
Justin Ward - Wells Fargo Securities, LLC, Research Division: A question, just a quick one, a bit more on the near-term guidance. Your guidance for Q4 implies kind of maybe high $0.80 range, which would be up maybe about $0.05 from Q3. You still have a lot of restructuring in Q4 that you're going to benefit from and you'll get the full benefit from the Q3 restructuring. So is it fair to assume that the margins -- you're assuming margins are going to be up in Q4 from Q3? And if that is the case, does that imply that you guys are thinking that revenues might be actually maybe down a bit in Q4 from Q3?
John W. Prosser: The first part of your comments, I think I would agree with that generally, we don't give specific quarterly guidance. But clearly, that is what would be construed from the annual number we're talking about and all. I think that there's going to be a mix of both, maybe a little bit better margins as we get a little benefit out of the restructuring, but it's also going to be volume. We are seeing, while modest, we are seeing a little bit of pickup on the hours as we look at each week. So it's going to be a combination of the 2. We don't forecast or give guidance on revenues per se, but I think it's going to be a combination of the 2 with, probably, volume as important as any margin improvement.
Justin Ward - Wells Fargo Securities, LLC, Research Division: Okay, great, and then...
John W. Prosser: It's going to be modest because, as you say, the guidance, if it is a little bit higher, it's not dramatically higher in the next quarter.
Justin Ward - Wells Fargo Securities, LLC, Research Division: Okay. And then just a quick one on the increase in the restructuring costs. You called out, essentially, as you got into the details of that, it's going to be a bit more expensive than you thought. And then also the tax benefits not what previously expected. But was there also, part of that, a need to essentially take up maybe a little bit more cost structure than you previously thought, as maybe revenues are maybe a little bit weaker than expected? Or...
John W. Prosser: No, I don't think we saw a big change in that. I think just as we got into the details and evaluating things like real estate and part of that is you have to evaluate what opportunities for sub-rentals and subleasing and such like that. And as we got into more of the details, it just the numbers changed, the number of people in several markets, as we sliced and diced, changed, particularly in Southern Europe, where even small numbers of people changes can have a significant dollar amount. So I think it was a couple of things that we thought maybe were on the cusp, and decided to take some actions as we really started focusing on. And so there wasn't any one big item that got added that added that 20%. It was just refining the numbers and getting more accurate. And probably erring on the side of doing more than -- and getting it behind us than doing less. And I think that the taxes became very much dependent on the geographies and that gets very complicated, so I'm not going to do a [indiscernible] on tax accounting. But what you can and can't tax benefit in the current period versus getting it over time as the operations improve and such came into that a little bit as well.
Craig L. Martin: If I can add to that. One of the clear messages to the organization internal to Jacobs' was, look, we're not going to do this every quarter, every year, every other year like some companies. The last time we did something like this was in 1994. The next time we do something like this, I expect to be well retired. So when you say, get -- anything that needs doing in a way of restructuring, you better do it now because you're not going to get another chance. I think that drives the number a little bit as well.
Justin Ward - Wells Fargo Securities, LLC, Research Division: Okay, great. And then one more quick one. You talked about the pricing pressure from the U.S. and EU competitors. Was it coming from kind of 1 or 2, or is it more broad than that?
Craig L. Martin: It's pretty broad. There are 1 or 2 culprits I can think of in particular, but I'm not going to mention their names.
Operator: [Operator Instructions] Our next question comes from Chase Jacobson from William Blair.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Just one more on the restructuring, if I could. Given that it sounds like you're trying to get as much out of the way as possible, it looks like you're spending close to $100 million. Can you give any sense as to how long you expect it will take to recognize that in savings? And is it fair to assume that the large majority of the savings will be recognized in the first couple years? And I know you don't want to give specific guidance, but just any color would be really helpful.
John W. Prosser: Well, I guess the comment I would make on that, since we aren't giving specific guidance, as I said, it's about 50% facility-related and about 50% people-related. The payback on the people tends to be shorter than the payback on the facilities. But I would say that some of the facilities will be -- individual paybacks might be 5-plus years, people have -- comes out a little shorter. But I guess that's about all the guidance I'm going to give as far as the average duration or anything like that, because that just backs into a number that somebody will pin on '15 and we're not ready to do that yet.
Operator: And, ladies and gentlemen, we've reached the end of the allotted time for today's question-and-answer session. I'd like to turn the conference call back over to management for any closing remarks.
Craig L. Martin: Just quickly, thank you all for joining the call and your interest in the company. I think we have a pretty good story. I know you need to see it materialize in the numbers, and we're going to do our best to make sure that it does, and I look forward to having another call soon where we can talk about the results that demonstrate that. Have a good day.
Operator: Ladies and gentlemen, that does conclude today's conference call. We thank you for attending. You may now disconnect your telephone lines.